Operator: Good morning. Welcome to the Waters Corporation Second Quarter 2018 Financial Results Conference Call. All participants will be able to listen-only mode until the question-and-answer session of the conference call begins. This conference call is being recorded. If you have any objections, please disconnect at this time. It is now my pleasure to turn the call over to Mr. Bryan Brokmeier, Head of Investor Relations. Please go ahead, sir.
Bryan Brokmeier: Thank you, operator, good morning everyone, and welcome to the Waters Corporation second quarter earnings conference call. Before we begin, I will cover the cautionary language. During the course of this conference call, we will make various forward-looking statements regarding future events or future financial performance of the Company. In particular, we will provide guidance regarding possible future income statement results of the Company for the third quarter and full-year 2018. We caution you that all such statements are only predictions and that actual events or results may differ materially. For a detailed discussion of some of the risks and contingencies that could cause our actual performance to differ significantly from our present expectations, see our Annual Report on Form 10-K for the fiscal year ended December 31, 2017. In Part 1 under the caption, Risk Factors, and the cautionary language included in this morning's press release and 8-K.We further caution you that the Company does not obligate or commit itself by providing this guidance to update predictions. We do not plan to update predictions regarding possible future income statement results except during our regularly scheduled quarterly earnings release conference calls and webcasts. The next earnings release call and webcast is currently planned for October 23, 2018. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of the non-GAAP financial measures to the mostly directly comparable GAAP measures is attached to the Company's earnings release issued this morning. In our discussions of the results of operations, we may refer to pro-forma results, which exclude the impact of items such as those outlined in our schedule titled Reconciliation of GAAP to Adjusted non-GAAP Financials included in this morning's press release. Unless we say otherwise, references to quarterly results increasing or decreasing are in comparison to the second quarter of fiscal year 2017. In addition, unless we say otherwise, all year-over-year revenue growth rates including revenue growth ranges given on today's call are given on a comparable constant currency basis. Now I would like to turn the call over to Waters' Chairman and Chief Executive Officer, Chris O'Connell. Chris?
Christopher O'Connell: Thanks, Bryan and good morning, everyone thank you for joining us today. Along with Bryan Brokmeier, joining me on this morning's call is Sherry Buck, Waters' Chief Financial Officer. During today's call, I will provide an overview of our second quarter operating results, as well as some broader commentary on our business. Sherry will then review financial results in details and provide comments on our third quarter and full-year 2018 financial outlook. We will then open up the phone lines to take your questions. Briefly reviewing our financial highlights for the second quarter revenues grew 5% and adjusted earnings per share grew 11%. Overall I’m pleased with the progress we made in the quarter demonstrating clear sequential improvement versus the first quarter and reinforcing the confidence we have in the ongoing growth trajectory of our business. Highlights in the quarter included team’s growth in China, double-digit growth from our DA product line and high single digit growth of recurring revenues. Looking briefly at the P&L we are pleased with the operating leverage we generated and the solid earnings results we realized in the quarter. While investing in growth to organic innovation, we demonstrated disciplined operating expense management that drove margin expansion which enabled us to deliver double-digit earnings per share growth in the quarter. Before I review our end market geographic and product line performance, I would like to provide an update on two factors we sited in last quarter’s call that adversely impacted our first quarter, Mass Spectrometry in India. First in Mass Spectrometry we saw a sequential improvement in the second quarter driven by solid growth from our core tandem portfolio. Our tandem quads which represent the majority of our mass spec sales have continue to sell strongly over the past year, offset by software growth from our high resolution mass spec product line. For further context, mass spec technologies are a key part of our LCMS and direct mass spec system offerings, yet represents a smaller part of our overall business and within mass spec high resolution mass spec represents only about quarter of the total mass spec revenue. Our sales force realignment, which had a minor impact our U.S. mass spec business during the first quarter is now complete and remains a key element of our ongoing market development strategy. With respect to India, growth was flat in the second quarter with a return to growth in Pharma, partially offset by some weakness in industrial and governmental and academic. We remain confident in the improvement of our India business in the second half of the year as customers continue to regain purchasing momentum. Now taking a closer look at the business starting with a review of our market categories at the corporate level. Sales to our broadly defined pharmaceutical category grew 4% in the quarter, growth was driven by double-digit growth in China, partially offset by a slight decline in developed markets due to slower than expected budget releases by our largest Pharma customers. Importantly we saw strong year-over-year growth in our large molecule business. As we continue to leverage our refresh Xevo tandem quad portfolio in this high growth market, we feel good about our Pharma market position and in particular, our ability to meet the needs of our about molecule customers as their investment environment continues to be positive. Sales to our worldwide industrial category which includes the materials characterization, food, environmental and fine chemical markets were up 3% in the quarter. Sales within our TA brand continued strong trend we have seen, giving us confidence in a positive outlook for industrial category as volume in our thermal and [indiscernible] product lines has been our best proxy for industrial end market demand. We saw softer demand from food and environmental customers in the quarter, partially offset by strength in the chemical materials market. Despite the near-term puts and takes. We continue to be excited about our product positions and pipeline, as well as the breadth of opportunity across materials characterization, food safety and environmental applications. Looking at our governmental and academic category, sales grew by 13% in the second quarter with broad-based growth across all major geographies. Weakness in biomedical research was more than offset by improvement in other research applications including pharmaceutical, materials and clinical diagnostics. Next I will review our sales performance by geography at the corporate level. Asia, our largest region in terms of revenue was up 8% in the second quarter as strong midteens growth in China offset flat performance in India. Demand in China continues to be robust, with strong growth in Pharma, food and materials. Turning to the Americas, overall sales grew 1% in the quarter with sales in the U.S. declining 2%. Although growth in Canada and Latin America was strong, including Brazil, Mexico and Puerto Rico, it was offset by some softness in the U.S., particularly in biomedical research markets as well as slower-than-expected Pharma growth. In Europe, sales were up 5% in the quarter. Industrial, as well as government and academic were particularly strong in the region while European pharmaceutical growth was a bit softer driven mostly by tough comps in big Pharma. Finally, I will review product line dynamics within our Waters and TA brands. Waters branded instrument sales were flat in the second quarter, driven by the previously mentioned mass spec systems softness. On the other hand, we were pleased with our sales of standalone chromatography instruments. Within LC the Acuity ARC continues to see significant broad-based demand and the newly launched Acuity Plus is receiving strong market acceptance. Our core tandem quad mass spec portfolio has sold really well over the last year, highlighted by the Xevo TQ-S micro and the Xevo TQ-XS. In high resolution mass spec growth was challenged within the biomedical research market, we recognize we are currently in the latter phases of product cycle in high resolution mass spec and therefore face more competitive pressure than the rest of our portfolio. That said, we continue to see significant growth opportunity in the space, are investing assertively and are confident in the strength of our technology pipelines that we expect will begin to show in the coming year. Waters branded recurring revenues, which reflect the combination of service and precision chemistries and represent approximately 50% of the total business grew 8% in the quarter. Recurring revenues were driven by global strength in our service sample prep and application kits and UPLC columns. Turning to our TA product line, sales increased 12% in the quarter. Instrument sales for TA increased 12% and service sales increased 11% was. There was broad-based growth across our key thermal analysis, microcalorimeter and electroforce product lines. In particular, growth within our discovery line of thermal analyzers continues to be very strong. We have now introduced nine new instruments over the past two years within the discovery series including the DMA 850, which was introduced earlier this year. Our balanced growth of new customers and existing customer upgrades gives us confidence that the discovery series continues to have a long runway ahead of it. In summary, we are pleased that we saw sequential improvement in our second quarter results, highlighted by strong growth in China, our TA product line in our recurring revenues. In addition, we deliver meaningful operating leverage, which enabled us to deliver double-digit earnings per share growth. As always we remain steadfastly focused on executing to our five point value creation model As we have previously communicated we aim to create shareholder value by first holding a focused and highly differentiated leadership position in structurally attractive markets. Second, executing a clear growth strategy driven by organic innovation. Third, seeking opportunity for continuous operational improvement, fourth being a disciplined capital allocator and fifth, operating with the performance oriented culture and management team. I would now like to add a few comments highlighting our strong focus on innovation at Waters. We are pleased with the progress of our product portfolio, including our recent interactions of the Acuity ARC Bio System, the Acuity UPLC Plus series and the Xevo TQGC as well as numerous new products for TA instruments business such as the recently launched DMA 850. We continue to prioritize and invest proactively in organic innovation with second quarter R&D investment growing 9% year-over-year. I’m personally excited about the rich pipeline, we are building across instruments informatics and precision chemistries. To augment these internalizations, we are increasingly evaluating select external technologies to strengthen our overall product portfolio and enhance organically developed products. As an example, yesterday we announced the acquisition of portfolios Desorption Electrospray Ionization or DESI technology for mass spec imaging. The acquisition of DESI technology bolsters Waters’ market-leading portfolio of direct ionization mass spec, which also includes multi-REIMS and the [DAR] (Ph) QDa with live ID. These technologies allow for simplified direct sample analysis under ambient conditions without any required sample preparation. We are excited about our unique ability to providing advance digital molecular imaging solutions and related analytical tools to researchers who strive to answer complex biological questions. In fact, my recent visit to a ASMS reinforced to me the excitement of the research community for mass spec imaging technologies, we saw 18 oral presentations and 105 poster presentations. When coupled with our Xevo G2-XS QTof in SYNAPT G2-Si Mass Spectrometer, DESI provides maximum flexibility by leveraging the power of time-of-flight mass spectrometry analysis and for more demanding applications additional or orthogonal resolution using Ion Mobility Mass Spectrometry. Importantly DESI is highly complementary to other imaging modalities, such as MALDI, making it a strategic addition to our evolving imaging portfolio and positioning Waters as the market leader in direct ionization mass spec techniques. With that, I would like to pass the call over to Sherry Buck for a deeper review of the second quarter financials. Sherry.
Sherry Buck: Thank you, Chris and morning everyone quarter. In the second quarter, we recorded net sales of $596 million an increase of approximately 5% in constant currency. Currency translation increased sales growth by approximately 2%, resulting in 7% sales growth as reported. In the quarter, sales into our pharmaceutical markets grew 4%, sales into our industrial markets increased 3% and sales into our governmental and academic markets grew 13%. Looking at product line growth, our recurring revenue represents the combination of precision chemistry products and service revenue grew 8% in the quarter and instruments sales grew 2%. As we noted last quarter, there is no year-over-year difference in the number of calendar days during the second or third quarters, but there is one additional calendar day in the fourth quarter of 2018 compared to 2017. Breaking product sales down further, sales related to Waters’ branded products and services grew 4% while sales of TA branded products grew 12%. Combined LC and LCMS instrument platform sales were flat and TA instrumentation systems sales grew 12%. Our total recurring revenues associated with both Waters and TA products grew 8%. As Chris already shared, we are encouraged by the strong momentum that we have seen from TA in the first half of the year, which gives us confidence in the positive outlook for our industrial category. Looking at our growth rates in the second quarter geographically and on a constant currency basis, sales in the Americas were up 1%, but sales in the U.S. down 2%. European sales were up 5% and sales in Asia were up 8%, led by 14% growth in China. Now I would like to comment on our second quarter non GAAP financial performance versus the prior year. Gross margin for the quarter was 59.2% versus 58.9% in the second quarter of 2017, positively impacted by mix and FX. Moving down the second quarter P&L. Operating expenses were up approximately 3% on a constant currency basis and foreign currency translation increased operating expense growth by approximately 3% on a reported basis. In the quarter our effective operating tax rate was 14.7% up 280 basis points year-over-year which was in line with our expectation and reflects the net impact on U.S. Tax Reform that we discussed in our Q4 2017 earnings call. Net interest expense was $3 million down $3 million from the prior year benefiting from the reduced debt levels as part of our capital allocation framework, as well as higher rates of return on investments versus the prior year. Our average share count came in at 78.4 million shares or approximately 2.3 million shares lower in the second quarter of last year. This is a net effect of our ongoing share repurchase program. Our non GAAP earnings per diluted share for the second quarter were up 11% to a $95 and compression to earnings of a $76 last year. On a GAAP basis our earnings per share were $98 versus a $63 last year. A reconciliation of our GAAP to non GAAP earnings is attached to the press release as of this morning. Turning to free cash flow capital allocation and our balance sheet, I would like to summarize our second quarter results and activities. We define free cash flow as cash from operations with capital expenditures and excluding special items. In the second quarter of 2018, free cash flow came in at a $44 million after funding $21 million of capital expenditures. Excluded from free cash flow were $47 million for U.S. Tax Reform payments a $15 million payment for litigation settlement and $2 million related to the investment in our Taunton Precision Chemistry Operation. Just as a reminder on the U.S. Tax Reform, we incurred a $550 million GAAP tax expense charge in Q4 of 2017 primarily associated with the transition tax on earnings and profits outside the U.S. This tax liability is expected to be paid over eight years with the first payment of $47 million remitted in this quarter. The lower free cash flow generation in the second quarter as compared to the prior year is impacted by a change in the timing of our current year U.S. estimated tax payments. We anticipate our free cash flow will normalize by the end of the year. Year-to-date 2018, we have converted $0.27 of each dollars up sales into free cash flow. In terms of returns to shareholders in the quarter, we repurchased 1.4 million shares of our common stock for $271 million. These capital allocation activities, along with our free cash flow resulted in cash and short-term investments of $2.2 billion and debt of $1.1 billion on our balance sheet at the end of the quarter, resulting in a net cash position of $1.1 billion. Accounts receivable, days-sales-outstanding stood at 75 days this quarter which is the same as in the second quarter of last year. In the quarter, inventories increased by approximately 13 million in comparison to the prior year quarter which was in line with typical seasonal pattern. As we look forward to the balance of the year, I would like to comment on our full-year 2018 guidance. Our outlook assume continued global growth and demand from our pharmaceutical end markets, year-over-year growth in our industrial market and consistent growth in our recurring revenues. These dynamics along with the sequential improvements that we saw in our second quarter performance support the full-year 2018 guidance for constant currency sales growth of 4% to 6%. At current rates, currency translation is assumed to increase 2018 sales growth by less than 1% which is the change from our prior 2018 guidance that assumed a benefit of 2% to 3%. Gross margin guidance for the year is unchanged at 58.5% to 59%. Our plan for the full-year is to continue managing operating expense growth at a rate that is below our sales growth rate. moving below the operating line net interest expense is expected to be approximately $14 million this assumes that the debt repaid in the first half of 2018 is not reborrowed during the course of the year. The full-year tax rate tax guidance is unchanged and an effective tax rate of 13% to 15%. Regarding capital allocation our guidance assume a continuance of our share repurchase program at a level that will result in an average diluted share count of about 78.5 million shares outstanding. Rolling all this together on a non GAAP basis full-year 2018 earnings per fully diluted share are projected in the range of $8.05 to $8.20 which is revision from our previous range of $8.10 to $8.30. At current rates, the foreign currency impact on the full-year earnings per share growth is expected to be neutral, which is the change from the prior 2018 guidance that assumed a benefit of about 1%. Looking at the third quarter of 2018, we expect 4% to 6% constant currency sales growth. At today’s rate, currency translation is expected to decrease third quarter sales growth by about 1% to 2%. Combining these top line factors with a moderate increase in expenses, we estimate third quarter non GAAP earnings per diluted share in a range of $85 to $95 which assumes an approximately 3% negative impact in currency translation at current rates. Now I would like to turn the call back to Chris.
Christopher O'Connell: Great. Thank you, Sherry. To recap. After a slower than expected starts to 2018, we were resolved to deliver a solid second quarter and I'm pleased that we delivered 5% revenue growth and 11% earnings per share growth. We made good progress in the parts of the business that held us back in the first quarter and we benefited from a number of key areas of strength that we will continue to leverage in the back half the year. As such, we expect our constant currency revenue growth for the back half of 2018 to be stronger than the first-half of the year. With that said, we will now begin the question-and-answer session. As we are not always able to get to everyone's questions, please limit yourself to one question and one follow-up and if you have additional questions, please contact Waters’ investor relations team after the call. Operator.
Operator: Thank you. Our first question today will be from Steve Beuchaw of Morgan Stanley. Your line is now open.
SteveBeuchaw: Chris first of all I would say thanks for preempting my first question, there at the end of your prepared remarks. I think what people really focus here is the drivers of the confidence and the outlook for the back half. So thanks for after thanks for going that proactively. I wonder if you could, maybe go into even a little bit more detail on just a couple of components there. Number one, is India, can you talk to us in a little bit more granularity on what you are seeing that gives you comfort from the ground level there about who the drivers are for the improved confidence and spending patterns of your customer base there in India. And the second piece of the back half, I would love to get just a little bit more on, is the sales force you mentioned that the sales force, the key positions in that filled people or in their seats, how recently did that happened and how much of an impact that have on 2Q.
Christopher O'Connell: Sure, thanks Steve for the questions. First of all in India, I guess the way I would characterize it is that the caution that we saw in our first quarter, which is, as we talked last quarter was the final quarter of the year for Indian pharmaceutical companies. The caution that they expressed there is eased gradually over our second quarter, which is there first quarter and in that caution is really around the overall financial year they have had before, plus you know what is continue to be a robust regulatory environment, FDA compliance, et cetera. And we see this caution warm-up gradually over last quarter and we expect it to continue to warm up that, in particular the Pharma sector is firming up, Pharma was really what held us back in Q1 and as I noted in my prepared comments on Pharma turned positive in our second quarter. And so we do see some pent-up demand building and really are just continue to press forward and stay very focused on what we do to serve our customers. And we do expect that as we get in the back half the year that that improvement will become more pronounced. As it relates to the sales force, like I said the expansion and e-territory activity and in some parts of the sales force were less than open positions during the course of Q1. Those were predominantly filled by the end of Q1. And as those positions have on boarded and gained traction in terms of building our territories they are becoming more productive and we expect that to really pay in the second half of the year. So like I said, before I have the opportunity to be part of a lot of sales force changes over the course of my career and investments and this one in the broad scheme of the world was very modest in terms of the overall scope and I think the team executed well through it and I'm excited about what this team's is going to contribute as we move forward.
Steve Beuchaw: Really appreciate that and then just one quick follow-up. Given some of the commentary in your prepared remarks about maybe somewhat elevated focus on capital deployment to M&A, can you remind us of what your parameters are, what your commitments are, how you think about required returns accretion and then the most appropriate size of the deal that I recall you saying in past years, past quarters that you think about M&A as tactic and not a strategy. Can you just remind us what are you thinking about that. Thank you.
Christopher O'Connell: Sure, thanks Steve happy to comment on that and the first of all, I would completely reinforce my view on M&A, which is that M&A is a tactic it's not an overall strategy for the company for capital deployment, we will be opportunistic in acquiring everything from intellectual property to technologies to talk in type opportunities - a mid to high strategic bar and high financial bar. And nothing has really changed in that regard, so in terms of any additional guidance on financial hurdles you know that's probably not needed, because we retain all of the parameters that we have operated with. That being said, one thing I have had the opportunity to do over the past couple years is to build a corporate development department here at Waters and its lean group, but one that is trying to enhance our focus outside of the Company to make sure that we remain oriented to thinking about growth and innovation from a 360 degree view and I think the team has been very productive. We have had the opportunity to make a few very high impact minority investments in very promising new technologies that fit right squarely in the center of our strategy and then the full acquisition of the DESI technology from Prosolia where we had a partially exclusive position before, now we really have locked up that technology, which we think is one of the most interesting things going on in mass spec imaging. I think those are just examples of our the way we are thinking about it and just trying to make sure that as we strive to deliver on our growth and innovation strategy that we are certainly prioritize organic innovation, but also taking advantage of some really interesting technologies that are out in the marketplace.
Steve Beuchaw: Thanks a lot Chris.
Christopher O'Connell: Yes.
Operator: Thank you. Our next question is from Daniel Arias of Citigroup. Your line is now open.
DanielArias: Good morning, thanks. Chris, can you just help us with the overall mass spec growth number for the quarter and then I guess should we expect some meaningful product news later this year at the high end of the market, I know you don’t like the preempt your announcement, but you kind of came in at something last quarter in terms of new high-res systems. Was that a reference to the GCMS announcement ASMS or you know should we sort of think about some things in the second half of the year that we can look for that would be meaningful when you think about the portfolio going forward.
Christopher O'Connell: Sure Dan. I would rather not break out specific growth numbers other than to reinforce what I said that we had quite a slow start to the year mass spec, things definitely picked up in the second quarter. Now where we wanted to be yet, but moving in the right direction and really excited frankly about what we're doing in terms of R&D investment. Mass spec is a huge priority for the Company, particularly as it relates a true system orientation around LC aspect as well as what I talked a little bit more about this morning, which is this sort of wide-open field of direct mass spec, I think as we move into the future, there is going to be more interest in some of these direct ionization techniques and there is a lot of kind of whitespace out there for growth. And we have been assertively investing, we have increased the system orientation of our core mass spec portfolio, which I think is a competitive advantage for Waters and we have also created greater focus around our high resolution mass spec. In terms of the product it's new and coming. Yes the GC mass spec is interesting and new and current, but clearly there is a lot more beyond that. I have talked in the past about our Bio Taft system, which is working its way through development very, very well and then we have a few what we believe to be groundbreaking technologies in high resolution mass spectrometry that will certainly give more visibility as we role into 2019. So stay tuned for that, but the bottom line is that we remain very focused on pushing forward technology, pushing forward system orientation and doing things that we can do uniquely well.
Daniel Arias: Okay. And then maybe just on industrial, can you add a clarification there, I believed you said that food and industrial were soft, but that chemicals was strong and I usually lump chemical into industrial. So I guess how are you thinking, how are you parsing things out there and then what is the growth expectation for the year for industrial in the way that you stated in the press release.
Christopher O'Connell: Sure. So industrial had a lot of puts and takes of course led by TA which gives me the most comfort in the overall tone of the market. Obviously we are benefiting TA from a really strong product and new product launch cadence right now, but we are also benefiting from what we believe are stable end market factors. Overall in industrial, we did see a sequential improvement from Q1 to Q2 and while there were puts and takes like the ones you mentioned there, we do feel that the overall portfolio of industrial on the waterside is normalizing. You know, there were some tough comps for example, in China and India in particular in Q2 of last year was very, very strong industrial. There was also dynamic within the environmental business where the EPA had been some pretty big purchasing activity last year where that is not yet recurred in this year and so there is lot of puts and takes. But overall we feel good about the category and expect some of the puts and takes we see in the first part of the year to normalize in the back half of the year, with continued strong TA performance.
Daniel Arias: Okay. Thanks so much.
Christopher O'Connell: Thanks.
Operator: Thank you. Our next question will be from Jack Meehan of Barclays. Your line is now open.
Jack Meehan: Thanks, good morning guys. Chris, I was hoping you could start just elaborate on the trends you are seeing here in the United States and you know what you know what was weaker versus what was better across the different end markets.
Christopher O'Connell: Sure happy to Jack. On the U.S. as I mentioned before was a bit slower in the first half and a little bit of a mixed bag and I think that really reflect some of the unique customer mix that we have. I mentioned our biomedical research sector has been slow out of the gate, but is very much a lumpy business. So you know hard to quantify exactly what direction that goes, but Pharma particularly large, large Pharma was a little softer coming out of the chute and certainly offset to a certain degree by biotechnology and generics, but we really remain confident in the overall end market around Pharma and ongoing investments they are making and we're encouraged by quoting activity that we are seeing. And so the tone of a lot of our customers in the U.S. and particularly in Pharma gives us some confidence in the stability of the market and we think it's a very reasonable expectation for a stronger second half, assuming that we get the typical year end purchasing activity and that this point we have no evidence to suggest that won’t be the case. So, again another point that I think is important is the strong service and chemistry performance indicates to us some building in terms of some pent-up demand for instruments in terms of our unique customer mix, but overall, you know, like I said, we are expecting a solid second half of the year.
Jack Meehan: Great. Thanks for all that and then just a follow-up on the government and academic performance, I know this can be lumpy on a quarterly basis. But obviously 2Q look pretty good, where there any revenue that was in or out of the quarter from a timing perspective and just what is the outlook for the rest of the year there, thanks.
Christopher O'Connell: Yes good point Jack. And yes, it's governmental and academic is a smaller sector of our three and it is lumpy and it was even mixed a little bit within that I mentioned biomedical research was soft, but yet other research applications were strong. Research particular in the part of academics in areas like pharmaceutical discovery, in areas like material sciences, in areas like clinical diagnostics that are more research oriented. So you know there is there is a good quarter there, you know the patterns in that business tend to be a little more cyclical and so you know we are just trying to focus on the things that are going well and try to make sure they are more enduring.
Jack Meehan: Thanks Chris.
Operator: Thank you. Our next question will be from Tycho Peterson of JPMorgan. Your line is now open.
Tycho Peterson: Thanks. Chris I want to follow-up on your comment a minute ago about the U.S. and you mentioned slower than expected budget release from Pharma. Can you maybe just elaborate has some of that subsequently comes through post quarter and I guess what gives you confidence, it’s a budget release issue and not something else.
Christopher O'Connell: Good question. I would just sort of reiterate what I said, Tycho. We watch this very carefully and in many ways it feels like last year where we saw the same pattern, where we had a slower budget release from our largest Pharma customers in the first half year and that firmed up in the second half of the year. And at this point like I said we don't have any evidence that that's should not headed in that direction again and things that we focus on when understanding the tone of our largest Pharma customers is certainly the service and chemistry and utilization of the technology, which is solid, the quoting activity, which we are encouraged by. And so the tone that we are hearing, we are obviously very close to these customers gives us like I said a reasonable expectation for you know more solid second half and that's what I can see from where I sit right now.
Tycho Peterson: Okay and then you guys are obviously putting up good numbers in China and that’s kind of consistent with what we have heard from peers about the demand environment. Can you talk to how you think about the back half for the year, the sustainability, you didn’t proactively make any comments on tariffs, so there is nothing we really need to be worry about that either.
Christopher O'Connell: From a China standpoint, tariffs is really not a factor right now and that’s obviously an evolving picture, but you know at the end of the day we don't export out of China, we import very little directly to China from the U.S. The vast majority of our business into China comes from our global manufacturing supply chain network and so we don't necessarily foresee a large impact on that part of it. But just in general, China is performing well, it appears from everything we can see solid and even in our forecast we are not necessarily assume everything goes perfectly right and you know my impression just from spending a lot of time in China and around Asia generally is just, you know, while it's not always the straight line, the long-term outlook is promising and we have a very diverse business in China its actually the most diverse portfolio we have of any major geographical and market. There is less Pharma weight there, more food and materials weight and there appears to be a really decent amount of balance in the business right now. So our expectations of our China team continue to be high and we are investing to sustain that type of growth in investing to win.
Tycho Peterson: Alright and then just last one, I’m curious about the decision to enter the GC market, obviously you are partnering up with going to OEM, the GC piece of it, but what do you think your advantages in that market or is it just opportunistically pushed into it.
Christopher O'Connell: You know it’s interesting because the GC-MS market is an important market, where we think there is unmet measurement need if you will unmet technology on the mass spec side and historically and I don't have the full history because I have only been here a few years, but historically we did have quite a bit of presence in that GC-MS field and I think our position faded overtime and the team has been really excited about reasserting that. Particularly applied workflows, in food and material science, large food labs in China and Europe are demanding this technology and we thought it was a very focused way to play it to really be able to hook on to some of the more broadly accepted core GC technology to provide a superior mass spec interface which we think the market needs. And so we definitely see an opportunity there. It’s not the - won’t be the largest product offering in our mass spec portfolio for sure, but we think it's a nice notch and frankly it will help us drive our overall portfolio particularly on the food side.
Tycho Peterson: Okay. Thanks.
Christopher O'Connell: Sure. Thanks Tycho.
Operator: Thank you our next question will be from Puneet Souda of Leerink Partners. Your line is now open.
Puneet Souda: Hi Chris. Thanks for taking my question. I have two broader questions maybe one of around first let me say around empower, how would you characterize the Empower strength today in the position that it holds in the market versus a year or two back. Is it strong and sticky as it in the accounts and know I’m asking that in context of the U.S. the decline here and somewhat of a Pharma that looks back half loaded, could you may be characterize what the strength you see in Empower is how is it versus before?
Christopher O'Connell: Yes sure I’m happy to talk about Empower, Empower is a really major competitive advantage for the Company, particularly in Pharma in the most rigorous regulatory compliance environments and the one trend that’s unmistakable for sure is the rising regulatory requirements from our customers and the increased priority our customers have on rigorous data management and compliance, and in that environment the Empower position is only strengthened. Particularly for global companies who are working on the Empower enterprise type network system, and if anything we have seen major customers work to adopt this across their LC platforms and earn, what I call incremental strategic wins, now the reason I say incremental is because we already have a really strong and leading market share we are really in, all of the top 20 or 25 major Pharma accounts in way shape or form and those typically trend towards more enterprise type deployments. Furthermore, we continue to push the technology down that curve where we started with workstations, we have been very oriented around enterprise solutions and now we are increasingly migrating towards the cloud. So really we are continuing to invest in our next generation chromatography data systems, I personally had a chance to review a lot of that work. I'm excited about taking the strength further and we obviously want to see many more companies besides the enterprise customers continue to behave in that way and we think for that reason there is runway.
Puneet Souda: Okay, thanks for that. And the second one I have is around the recent retirement and management changes, I wanted to get a higher view from you, your vision, your long-term strategy. So we have seen 15 to 30 years tenures of senior leadership at waters, but recently I mean Rohit Khanna, SVP, Applied Technologies, he was there for 30 years, I believe he retired, David Terricciano, who is the Head of Global Operations. I believe he has also taken retirement and Ian King is approaching close to 35 years, he has been excellent at technology and new product introductions. So my question here is, how are you thinking about the next round of leadership, should we expect them to rise from within the Company as traditionally been the case, or should we expect maybe potentially outside of the LC-MS business, just wanted to get your views there? Thank you.
Christopher O'Connell: Sure, well thank you for the question. Because certainly investing in our organization in a very broad and deep and diverse management team is the very top priority of mine, I spent an awful lot of my time on this and you mentioned some outstanding people. Our current executive team is a very strong balance between deep, credible, proven industry experience with sprinkling in of some fresh perspectives, which is exactly the way you want the management team to look. Some of the retirements you mentioned were sort of long planned retirements both on those individuals parts as well as our part. We had robust succession plans for all of them, you mentioned Ian, he is the head of our product development organization and doing a fantastic job and we continue to leverage that expertise. But one thing that's been a real joy for me coming into the Company is getting to know management at the next level and employees throughout. I have brought in a really a transformational talent review, organizational development process that has substantially increased the rigor and development and investment in our top talent. I have even personally designed and teach a three day leadership course to our top up-and-coming people and all of our management is involved in that process in furthermore leading in developing teaching others. I couldn't be more excited about the talent pool of waters and you do see the tenure and the depth of expertise at many levels and we are increasingly tapping into that as leadership community. So I could go on and on other than to say I just want to express confidence in what we are doing and I do expect that as any organization evolves overtime that we have a very strong and increasingly strong bench that were developing from within and then opportunistically supplementing that with the new skill sets and new perspectives from the outside where wanted. So it’s a great equation.
Puneet Souda: Okay. Thanks Chris.
Operator: Thank you. Our next question will be from Brandon Couillard of Jefferies. Your line is now open.
Brandon Couillard: Thanks. Good morning. Sherry a couple of housekeeping items for you. First, could you talk through the impact of currency in the second quarter on the gross operating margin lines as well as EPS than when you alluded to free cash flow normalizing by the end of the year. What exactly that means that we return to growth or the referring to more like the cash flow conversion metric.
Sherry Buck: Sure, yes. So your first side of question about the FX dynamics in this quarter, maybe just recapping for the top line, the Euro and the Yen is really what drove kind of the FX of 2% on the top line and we saw that favorability flow through the gross margin, we had probably a slight positive impact on the gross margin. But the dynamic that happened in the second quarter because of our Euro and pound and particularly that our cost base that we have in the pound that impacted our operating expense. So that kind of flowed through on our operating expenses as a headwind on our operating expense line. So we have guided on the EPS, we thought it would be $0.01 positive and we ended up a little bit more positive than that. As far as the cash flow normalizing, I would say it would be more of a return to growth and we like to look at our cash flow conversion, at $0.27 for the half, we also probably see that improving by really returning to growth. The second quarter was really a dynamic of timing of our estimated tax payments of the results of the U.S Tax Reform. Our balance sheet and working capital are in good position.
Brandon Couillard: What exactly did the $15 million litigation settlement payment relate to.
Sherry Buck: We have some ongoing litigation and we have disclosed in our queue that that had gotten settled. So we got that settled and paid in the quarter.
Brandon Couillard: Alright, thanks.
Operator: Thank you. Our next question will be from Doug Schenkel with Cowen. Your line is now open.
Doug Schenkel: Hi good morning. I just want to start with two follow-ups on some earlier questions and then come back with a buyback question. So on the follow-up first, in the first quarter you noted that India represented a - what you call about a 3% year-over-year headwind to total pharmaceutical growth, which I believe implies that this was about an $8 million to $9 million revenue headwind, with that in mind how much of the Q2 strength you saw in India specific to Pharma, was a function of improvement in demand versus just a recap for revenue you didn't get in Q1? And the second follow-up is recognizing U.S. revenue declined 2% year-over-year, and that this was against down to 2% to 2.5% comparison from last year, do you expect U.S. to grow in the second half given you are going to face tougher comparisons then you did in the first half where you actually you know maybe struggled relative to expectations?
Christopher O'Connell: Thanks Doug. I think for the most part I would just say in India, just a follow-up on those questions. The Q2 kind of incremental strength we saw in Pharma was probably some combination of a little bit of pent-up demand plus just a warmed up purchasing tone of the customers as I mentioned. And Pharma was positive in Q2, is certainly not where we wanted it to be in India or where we expected to be in the back half of the year, and I guess looking at the big picture it doesn't necessarily surprise us that as we sort of anticipated when we were on the call last quarter that it would sort of build over the course of the rest of the year. So that's moving along as we expected it to. Relative to the U.S. I think it's a fairly simple answer to your question, which is, yes, we do expect the U.S. to grow in the back half of the year, and that is just based on as I mentioned earlier reasonable expectation for typical year end purchasing activity in somewhat of a pattern that we saw last year. So we are just focused on the basics there and making sure that we understand the tone of our customers that were quoting activity and how we translate that into their deployment of their budgets, which have been conservative in the first part of this year as I mentioned.
Doug Schenkel: Okay, thank you for that. Then on buybacks last quarter you noted your share count guidance for the year assumes $800 million in buybacks you are on pace for 1.1 billion in total buybacks just annualizing what you have done thus far, given the significant authorization last quarter is there any reason you don’t continue to buy back shares at the current pace of around $270 million to $280 million per quarter?
Sherry Buck: Yes Doug. You know so far through the first half your numbers there we have had about 550 million and I would say we could maintain that through the second half and we will evaluate that over the course of the coming months.
Doug Schenkel: Okay thanks Chris, thanks Sherry.
Operator: Thank you. Our next question will be from Catherine Schulte of Baird. Your line is open.
Catherine Schulte: Hey guys, thanks for the questions. Chris when you look at Water’s branded instrument, what do you think the most important factors will be in order to get that piece of the business back to mid single digit growth and how long do you think that takes?
Christopher O'Connell: Now it’s a fair question and certainly it is a portfolio effect, obviously we need to continue to step forward in our progress we are making in mass spec and continue to leverage the strength of our tandem quad portfolio in that regard. While also competing well on the high-resolution side as we continue to invest for the future and you on the LC side, there are other flows in the LC business. We have a fantastic portfolio and feel better about our portfolio now probably than anytime over the past few years. Given some of the refresh we have done there. I mentioned the acuity ARC is done well, but now we have acuity ARC bio the acuity plus which brings in a whole new set of capabilities to our core UPLC platforms, you know when and really, if you look at the broader trends in just a standalone LC business the first half as a whole. U.S. LC was more like a mid-single-digit grower with worldwide being in that same range and so. You know it's really matter of making that the whole portfolio work and leveraging the benefit of some of the newer technology we have and continue to meet the needs of our customers, but we certainly have an expectation as well as set goals to make sure that that overall portfolio of Waters branded instrument performs at the levels we expect.
Catherine Schulte: Great thank you and then Sherry can you just give us a bridge for the EPS guidance change, sounds like $0.7 or $0.8 of what’s favorable FX but any other change assumptions there?
Sherry Buck: You hit that one on that, so our guidance changed we lowered the midpoint of about [7%] (Ph) and its really because of the change in our FX for the second half of the year and really our approach assumptions for the guide can remain unchanged.
Catherine Schulte: Great. Thank you.
Operator: Thank you. Our next question is from Derik de Bruin of Bank of America Merrily Lynch. Your line is now open.
Derik de Bruin: So first one is the DESI technologies has been around for a while and obviously it’s been partnered with some other companies. I’m just curious as to why you doing that acquisition now and then just in terms of can you give us some metrics in terms of what M&A is going to contribute to your constant currency growth in 2018.
Christopher O'Connell: Sure, just a couple of additional comments on DESI this technology has been around for sure. It's been in semi or co-exclusive type of an arrangement with other partners, and frankly, we see a huge opportunity to personally within Waters develop the technology to make it even more robust usable and widespread for mass spec imaging. And frankly, we see a significant pull from our customers to one of the key sources of differentiation in some of our high-end systems and I think we were held back probably from doing all we can with the technology in that type of model. There is obviously a transition period in their relative to other technologies, we want to support our customers as they evolve to the next generation of waters driven to the technology and having full control over the technology was a really critical step in doing that. I think it's also reflective of our belief in the direct mass spec technology category mass spec imaging as part of that and in the really interesting technology portfolio we have, we just see more and more direct sample mass spec applications coming for all the reasons I mentioned and want to control our destiny even more significantly. As it relates to M&A metrics and that organic growth there is very little of that in the business and even on the DESI side, it's completely immaterial at this point. So really the growth we are getting this year is truly organically driven.
Derik de Bruin: Great and then just one follow-up. So obviously the dollars has been moving quite a bit and getting stronger and I know previously there is been some issues with your [Indian] (Ph) customers losing purchasing power and obviously things moving around and currently even China. I’m curious have you seen any sort of hesitation when people buy because of their budgets and then also is there any sort of indication that the trade issues that are going on are baleen over into maybe some of the OUS competitors like Shimadzu may be gain a little more business? Thanks.
Christopher O'Connell: Yes, thanks. I don’t know I think that’s a really interesting question Derik, and one we just really don't know, I personally don't see any evidence that trade or tariff or currency, associated currency issues that we all watch very carefully have changed purchasing behavior, certainly in India the dynamics we have seen have been much more related to the specific kind of customer and country issues in India around some of the broader economy reforms. China we really haven't seen any affect there; obviously there is a lot of unknowns out there relative to trade more broadly. I guess personally, the way I look at that as I just try to understand it and if there are any threats, but very much remains kind of a free trader in terms of my mentality and offer my voice to that where I can and hopefully a lot of the rhetoric that’s going on right now is really a negotiation that ultimately restores and affirms the sort of inexorable globalization of our economies and enables free and fair trade. So again, no direct evidence that there is issues that get in the way of our normal commercial activities, but we will obviously stay focused on that question. I think in the extra time here, we have one more - time for one more question.
Operator: Yes, thank you. Our final question will be from Patrick Donnelly of Goldman Sachs. Your line is open.
Patrick Donnelly: Great. Thanks for sneaking me in that Chris. Just on the sales force realignment I know you mentioned positions were mostly filled by the end of 1Q. Can you just kind of talk through what historically has been the timing, kind of ramp up the productivity there, and have you seen the territories bounce back once positions have been filled over the last three or four months?
Christopher O'Connell: Yes. And I appreciate the question and like I said last quarter, we tried to just be extremely transparent about what is going on here, but I would continue to reinforce that this is a very small impact in terms of the overall results, it is a relatively minor set of changes and obviously there is a difference when you hire new people when you are hiring kind of fresh inexperienced reps in the company that have a big upside, but have a longer curve versus competitive and experienced reps and we do have a mix there. So I don't want to put too fine a point on that other than to say that this is normal course of business and we feel good about the modifications we made overtime and it’s all about investing in our team to win in a changing environment. So I will just leave it at that.
Patrick Donnelly: And then maybe just a quick run on the P&L margins came in a little ahead of our expectations. Could you just talk through any key initiatives driving expansion there, I mean even in a lower growth environment relative to where you guys have been historically driving some nice expansion so I’m just kind of curious what the key levers there are and how you are feeling going forward?
Christopher O'Connell: Just a quick comment and then I will let Sherry comment as well but one of our key parts of our value creation framework is continuous operational improvement and since Sherry has come in we put together a comprehensive program to scale the Company and drive efficiencies in all parts of the P&L, everything from how we design products and manage our cost of goods and non-product costs all the way through G&A and you know selling and marketing type expenses. And really a lot of that is being done to preserve and enhance her overall commitment to our growth investments in R&D and sales force expansion. So, you know I don’t want to put too much detail on right now. We look forward to sharing more overtime, but we are really developing a comprehensive program in that regard and are excited about what it will do to help us to continue to grow scale invest in the Company.
Sherry Buck: And the only thing I would just add for the quarter, we did see some favorable mix in the quarter that impacted that and a little bit of that FX as well.
Christopher O'Connell:
Christopher O'Connell: Thanks, Sherry and I think we will turn to the ramp up here and wanted to say thank you all for your great questions as always. In conclusion here at Waters. We remain focused on delivering our growth plans for 2018, headlined by an acceleration in the back half the year within our pharmaceutical market, continued growth in TA and broad based growth in China, we believe that market conditions and our strong competitive position support continuing success. So on behalf of our entire management team I would like to thank you for your continued support and interest in waters. We look forward to updating you on our progress during our Q3 2018 call, which we currently anticipate holding on October 23, 2018. Thank you. Have a great day.
Operator: We thank you on your participation in today’s conference. That will conclude the call. You may now disconnect. Thank you.